Operator: Good day, everyone. Welcome to the Air Industries Conference Call. Today's conference is being recorded. 
 Air Industries Group safe harbor statement is as follows: except for the historical information contained herein, the matters discussed in this presentation contain forward-looking statements. The accuracy of these statements is subject to significant risks and uncertainties. Actual results could differ materially from those contained in the forward-looking statements. See the company's SEC filings on Forms 10-K and 10-Q for important information about the company and related risks. 
 EBITDA is used as a supplemental liquidity measure because management finds it useful to understand and evaluate results, excluding the impact of noncash depreciation and amortization charges, stock-based compensation expenses and nonrecurring expenses and outlays prior to consideration of the impact of other potential sources and uses of cash such as working capital items. This calculation may differ in method of calculation from similarly titled measures used by other companies. 
 And at this time, I would like to turn the conference over to Lou Melluzzo, CEO. Please go ahead, sir. 
Luciano Melluzzo: Thank you, Nicole. Good morning, and thank you for joining us as we summarize Air Industries' results for the fourth quarter and all of 2020. 
 Air Industries had an excellent fourth quarter. Net sales in the fourth quarter were more than $14.5 million, an increase of 8.5% compared to 2019. This was easily the best quarter of the year. Our gross profit increased by more than 20%, an increase significantly higher than the increase in sales. 
 In our last call discussed in the third quarter, we said we expected our gross margins to increase, and it has. Due to the challenges of COVID-19, sales for the overall year were down about 8%. The work from home mandate and new COVID protocols were imposed on operations early in the second quarter. Our supply base and vendors experienced the same obstacles in conducting day-to-day business during that period. 
 In the second half of the year, operations started to normalize and the trend carried through the balance of 2020. The negative effects of COVID-19 pandemic, which impaired operations earlier in the year, appeared to have largely passed. And as economies around the world are starting to reopen, we believe that Air Industries is firmly positioned to achieve growth in 2021. 
 I would also like to give an update on our capital investment program. During 2020, we invested over $4 million in new equipment. In total, 5 new major large machines were added to the production floor. To make room for this new equipment, we have relocated a production cell consisting of 4 machines to our Sterling Engineering facility in Connecticut. All of the equipment on Long Island is installed and running. Our investment in this equipment has been very well received by our customer, which is very encouraging. 
 Despite the turmoil in the aerospace industry caused by the pandemic, our backlog remained strong at approximately $88 million. It is ironic that despite the significant decline in commercial aerospace, our commercial backlog increased. Finally, I would like to again reiterate that our backlog represents firm orders from customers, not unfunded, hoped for or anticipated orders under long-term contracts. 
 At this time, I would like to turn the call over to our CFO, Mike Recca, for the financial recap, and I'll return with my closing thoughts and open the call up for questions. Mike? 
Michael Recca: Thank you, Lou. As Lou discussed, we ended 2020 on a high note. Results in the fourth quarter was significantly better than earlier in the year and certainly much better than Q2 when COVID [ affected results. ] 
 Turning on sales. I'd like to highlight some of the important points. Gross profit in absolute terms and a percentage of sales increased in the fourth quarter due to higher sales absorbing more of our fixed manufacturing overhead. As we said before, gross profit is highly correlated with volume. As sales continue to increase, you can expect [indiscernible]. 
 Our operating costs remain very well controlled. They declined about $500,000 or 6% for the year, and this has been despite increased COVID-related costs that we incurred. Our expenses remained significantly lower than historical levels. While we had an operating loss for the year in the fourth quarter and increased sales, we returned to an operating profit. 
 Interest expense has been cut by more than half, significantly more than half. The bulk of this is from lower rates at Sterling National Bank, where we are now paying 3.5%, let's say, in excess of 9% with our former bank. And during the year, we converted about $3 million of subordinated debt to common stock. 
 We mentioned that our $4 million investment in new equipment. Almost all of this expense was financed with a combination of proceeds of our stock sale in early 2020, and the expansion of our term loan with Sterling in November, again, at low interest rates. 
 And with that, I'll turn the call back to Lou and look forward to your questions. 
Luciano Melluzzo: Thanks, Mike. Let me close the call with a few thoughts. I'm sure you all agree with us that we are glad 2020 is over. I look forward to being able to travel to a client, have lunch with a colleague or be able to talk about the obstruction of a mask. We took many things for granted in 2020. 2020 is now behind us, and we are very confident of improving business conditions in 2021 going forward. 
 With those closing thoughts, I'd like to open up the call to questions from participants. Nicole, would you please take questions? 
Operator: [Operator Instructions] And we'll take our first question. Please go ahead. 
Unknown Analyst: Yes. This is Rick down in Tampa. I'm just wondering about the remaining debt we may have, at what interest rates with Taglich? And is there any possibility, looking at the crystal ball out 18 months to 2 years, that we get a return of the dividend? 
Luciano Melluzzo: We have our senior debt with Sterling National Bank, and we have single notes with Taglich Brothers principals that range from 7 to -- yes, 7% to 12%. In terms of dividend, I think we're a little bit premature to discuss when that might be -- that might be able to be useful. 
Unknown Analyst: Okay. What is the possibility of restructuring that remaining debt that would bank, on average, like you say, about 8%? 
Luciano Melluzzo: We did restructure it in -- during 2020. And I would expect, as things continue to improve, we could make further reduction. The last one in the calculation, which was not very recently, our overall expense was up to about 7.5%, 8% now. 
Unknown Analyst: Okay. All right. Well, thank you. We'll make a little savings somewhere in the future on that. 
Operator: [Operator Instructions] And it does not appear that we have any other questions coming into the queue at this time. 
Luciano Melluzzo: Okay. Thank you, Nicole. So with that, once again, thank you, everyone, for taking the time to be on the call today and for your attentions and question. Nicole, I think we're all set. 
Operator: And once again, ladies and gentlemen, that concludes today's conference. We appreciate your participation today. Thank you.